Operator: Good evening, and welcome to MillerKnoll's Quarterly Earnings Conference Call. As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Wendy Watson, Vice President of Investor Relations.
Wendy Watson: Good evening, and welcome to our fourth quarter fiscal 2025 conference call. On with me are Andy Owen, Chief Executive Officer; and Jeff Stutz, Chief Financial Officer. Joining them for the Q&A session are John Michael, President of North America Contract; and Debbie Propst, President of Global Retail. We issued our earnings press release for the quarter ended May 31, 2025, after market closed today, and it is available on our Investor Relations website at millerknoll.com. A replay of this call will be available on our website within 24 hours. Before I turn the call over to Andy, please remember our safe harbor disclosure regarding forward-looking information. During the call, management may discuss information that is forward-looking and involves known and unknown risks, uncertainties and other factors that may cause the actual results to be different than those expressed or implied. Please evaluate the forward-looking information in the context of these factors, which are detailed in today's press release. The forward-looking statements are made as of today's date and except as may be required by law, we assume no obligation to update or supplement these statements. We also refer to certain non-GAAP financial metrics, and our press release includes the relevant non-GAAP reconciliations. With that, I'll turn the call over to Andy.
Andrea Owen: Thanks, Wendy.  Good evening, everyone, and thank you so much for joining us tonight. We are very pleased with our strong finish to fiscal 2025, with our Q4 results significantly exceeding our expectations. Jeff will share the details of our financial performance with you, but I want to briefly recap a few highlights from the past year that underscore our design leadership, speak to our opportunities ahead and then discuss what we are currently seeing in our markets. First, I want to thank our teams across MillerKnoll for our accomplishments over the past year. In our contract businesses, we made incredible progress, and we have multiple opportunities to grow our market share both in North America and internationally. We opened new flagship locations in London and New York that include both contract showrooms and retail stores and have meaningfully elevated how we present the collective strength of our brands and products to customers. With these new locations, we've improved the quality of our customer interactions and have seen a significant increase in customer visits, positioning us to capitalize on our product and brand leadership as trends improve in our markets. We've spent the past year reimagining what our newest flagship in Chicago's Fulton market could be. We debuted this new comprehensive design center earlier this month at Design Days 2025, a marquee event for the contract furniture industry. With 2 buildings at 1100 and 1144 West Fulton, we brought our collective closer together, making it easier for customers to see what's possible in spaces that reflect the ways people work, gather, heal and create. Our new space highlights the unique strengths of the Herman Miller and Knoll brands, while also featuring our Herman Miller floor and MillerKnoll floor designed to showcase the power of our combined portfolio and real-world solutions through planned and purposeful design. The space also features an expanded health care showroom, HAY's first North American showroom, new NaughtOne and Muuto spaces as well as enhanced Herman Miller, Knoll, Geiger, DatesWeiser and Maharam showrooms. Like our London and New York locations, our Chicago showrooms include DWR and Herman Miller retail stores. Design Days highlighted the accomplishments of our design, creative and product teams over the past year. At this year's event, we introduced over 30 new products across our brands. It was an incredibly successful event for MillerKnoll with booked appointments of 11% year-over-year. As a pioneering tenant of Fulton Market and the founder of Design Days, we are thrilled that more and more customers, dealers and A&D partners are coming to this event. In our contract product portfolio, we are investing in targeted R&D and innovation. Four years into the culmination of Herman Miller and Knoll, we've had time to strategically review our unmatched product portfolio, understand where there is differentiation and identify where we have opportunities to add innovative new products or enhanced product lines. One of our latest innovations is Knoll Dividends Skyline, which we just introduced at Design Days. It offers a refined, flexible and holistically integrated system that reimagines the open design workplace for today's dynamic and compact office environments. It features a new planning typologies and a contemporized material pallet, empowering architects and designers to deliver a total interior. There are also recession-resilient verticals that we will continue to go after with targeted R&D and product investment. For example, backed by research and real-world insights, Herman Miller's new Gemma Healthcare Seating Family is thoughtfully designed to support the diverse needs of patients, families and caregivers. With a range of options, including a recliner, a sleep chair and a sleep sofa, Gemma combines intuitive functionality with a warm, modern esthetic that enhances any care environment. Each piece is easy to use, requiring simple movements to adjust, allowing users to focus on care rather than furniture. Scalable across various room sizes and available in multiple sizes, a Gemma Recliner and its counterparts create a cohesive and comforting visual language throughout health care spaces. Ultimately, Gemma helps patients, families and caregivers feel supported and at ease, making it a smart human-centered choice for today's health care environment. In higher education, Muuto and HAY's extensive assortment of ancillary and hospitality solutions can assist colleges and universities as they build out lounge areas, meeting spaces and cafeterias for their growing populations. We also see exciting opportunities with Herman Miller Gaming in the higher education space. For example, we recently collaborated with the university on a state-of-the-art esports arena. Turning now to our accomplishments and growth opportunities in our global retail business. In fiscal 2025, we opened 4 beautiful new stores, including the DWR studio in Palm Springs that opened in concert with Modernism Week, a DWR in Paramus, New Jersey, and a Herman Miller store in Fairfax, Virginia, and one also in Coral Gables, Florida. In fiscal 2026, we expect to open an additional 10 to 15 new stores in the U.S., as we continue our journey to more than double our DWR and Herman Miller store footprint over the next several years. Earlier this month, as I mentioned, we opened an expanded DWR store and a new Herman Miller store and our Chicago Fulton Market flagship. In the next few months, we plan to open DWR stores in Sarasota, Florida, and Las Vegas, and a Herman Miller store in Philadelphia. We will follow this in the second quarter with a DWR store opening in Salt Lake City and Herman Miller store openings in Nashville and El Segundo, California. In addition to growing our store footprint, we have several growth levers we can pull in the business over the next several years, including continuing to invest in product assortment expansion, increasing our e-commerce penetration and expanding our brand awareness. These levers will allow us to drive revenue growth and also expand our brand awareness through targeted marketing and investments for new product launches and activities and events designed to introduce our brand to new customers. Additionally, each time we open a new store, we see a compelling halo effect of e-commerce growth and increased brand awareness in these new geographies. During fiscal 2025, we meaningfully expanded our retail product assortment with new product launches increasing over 50% compared to the prior year. Going forward, we have opportunities to grow the breadth and depth of our product assortment in several key areas of the home. And finally, an accomplishment in the past year that is very personal to me is our new MillerKnoll archive space at our Michigan headquarters, showcasing over 100 years of design history. The new space has been well received by dealers, customers and design partners. It's grounded in the belief that we must celebrate our iconic design heritage and learn from our legacy as we continue to innovate for the future. We were excited to have the archive's opening featured in the CBS Saturday Morning segment on June 7. Now I'll turn to what we're seeing in our markets. In both our North America and International Contract markets, we are cautiously optimistic, while navigating what continues to be a very dynamic macroeconomic environment. Prior to tariffs being reimposed in January, we had seen 3 consecutive quarters of order growth in the North American Contract segment. While the onset of tariffs interrupted this trend in the third quarter, we were pleased to see a return to order growth in the fourth quarter, which Jeff will detail shortly. In our international markets, we were especially pleased to see strength and increased activity in Europe and the U.K. We are well positioned with our flagship showrooms in the heart of London's Clerkenwell Design District. Thousands of customers, A&D partners, dealers, commercial real estate professionals and project influencers came to our showroom over the 3 days of Clerkenwell Design Week in May. There's also a tremendous opportunity to grow Knoll internationally through their private office and elevated conference room solutions. Beyond our internal growth opportunities, we are also encouraged by several external factors that we expect to work in our favor in our contract businesses. More companies are now working in the office and focused on how to attract associates through upgraded spaces and elevated experiences that support being together. A recent study among Fortune 100 companies showed that days in the office have increased 68% since 2022. Office leasing activity is rising and rent has fully recovered for Class A space. Since December 2024, BIFMA industry orders have consistently trended up on a year-over-year basis. Our internal indicators also gave us reason to be optimistic. We are seeing the ingredients for a return to growth in contract, and we are well tuned to take advantage of the industry recovers. We have compelling competitive advantages, including an unmatched suite of products and a formidable distribution channel with world-class dealers who are well versed in the entire MillerKnoll product collective. In our retail business, while we are similarly cautiously optimistic about the macroeconomic environment, as I have described, we have several levers we are willing to pull growth now and that will put us in a position of strength when the housing market begins to recover. At the same time, we're investing for both across our businesses, we will continue to balance our approach for the long term. We are well positioned with cash flow and balance sheet strength to capitalize on opportunities. We will focus on our customers, we will prudently manage our costs, and we will consistently deliver innovation, and we will invest for profitable growth. To close, I'm so proud of our entire team for all their hard work and dedication in fiscal year 2025 and for the strong finish to the year. We are excited to see what we can accomplish together in fiscal 2026. I'll now hand it over to Jeff to discuss our results in more detail and share our perspective on fiscal 2026.
Jeff Stutz: Thanks, Andy, and good evening, everyone. I'll start with an overview of our performance in the fourth quarter and some full year highlights, followed by our outlook and targets for the first quarter, including our most up-to-date view on tariffs. In the fourth quarter, we generated adjusted earnings of $0.60 per share, significantly outperforming the midpoint of our guidance, driven by better-than-expected sales and strong gross margin performance that benefited from leverage on our sales growth. Consolidated net sales in the fourth quarter were $962 million, well above the midpoint of our guidance. Relative to the same quarter last year, net sales were up 8.2% on a reported basis and up 7.8% organically, driven by relative strength in all segments of the business. In North America Contract, we saw both strong orders and sales, which was partially enhanced by pull-forward activity ahead of our recently announced tariff surcharge and list price increase. New orders at the consolidated level in the fourth quarter were $1.04 billion, up 11.1% as reported and 10.7% higher on an organic basis. Our consolidated backlog increased by $78 million to $761 million from improved demand in the quarter. We were very pleased with our consolidated gross margin of 39.2% in the fourth quarter. While down slightly to last year, gross margin was up 130 basis points sequentially. Gross margin included a drag of approximately $7 million from tariff-related impacts to cost of goods sold, an amount right in line with the estimate we provided in our fourth quarter earnings guidance back in March. Given the volume of orders pulled forward ahead of our price surcharge and the normal time it takes to begin benefiting from list price changes in our contract businesses, we expect margins to be negatively impacted in the near term by tariffs currently in place, but remain confident, our pricing actions will offset these later in the fiscal 2026. Turning to cash flow and the balance sheet. We generated $71 million in cash flow from operations in the fourth quarter, driven by our strong sales and earnings performance, and we reduced our long-term debt by $5 million. We ended the quarter with $576 million of liquidity. And in April, we amended our revolving credit facility and Term Loan A to extend their maturities to 2030. We finished the quarter with a net debt-to-EBITDA ratio of 2.88 turns, an amount comfortably under the maximum limit defined in our lending agreements. With that, I'll now move to our performance by segment in the fourth quarter. Within our North America Contract segment, net sales for the quarter were $496 million, up just under 13% from the same quarter a year ago. New orders in the period were $568 million, reflecting growth of almost 16% over last year. We estimate new orders in the fourth quarter benefited from between $55 million and $60 million in demand pull forward in advance of implementing our tariff-related surcharge on April 21 and our price increase on June 2. Importantly, we believe these price actions have created a sense of urgency in the customers of our North America Contract business and our internal demand indicators in the quarter reflected this customer activity. Fourth quarter operating margin in the North America Contract segment was 7.7% compared to breakeven performance in the prior year. Adjusted operating margin improved 90 basis points in the quarter to 10%, primarily due to benefit of fixed expense leverage from higher net sales and favorable product mix, partially offset by the tariff-related cost increases. In the International Contract segment, net sales for the quarter improved to $186 million, up 6.9% on a reported basis and up 5.5% on an organic basis year-over-year. New orders during the quarter were $190 million, an increase of 3.6% on a reported basis and a 2.1% organic increase compared to the prior year. We were very pleased with the widespread sales and order growth in the quarter with particular strength in our European markets. Our Latin America region also delivered strong sales growth in the quarter. In contrast to the North American segment, we do not believe our International Contract business experienced any meaningful order pull-ahead activity related to our previously announced list price increase. Reported operating margin for the International segment in the fourth quarter was 11.7% compared to 10.9% in the prior year. On an adjusted basis, segment operating margin was 12.9%, down 230 basis points, primarily from regional and product mix of sales and higher variable incentive compensation in the quarter versus last year. Turning to our Global Retail segment. Net sales in the fourth quarter were $280 million, up 2.2% on a reported basis and up 1.4% organically. New orders in the quarter improved to $280 million, up 7.5% to last year on a reported basis and up 6.7% on an organic basis compared to the prior year. Operating margin in the retail segment was 5.3% in the quarter compared to 6% last year. On an adjusted basis, the operating margin was 6.5% this quarter, 210 basis points lower than in the prior year, primarily from new store opening costs, lower sales in the international regions, unfavorable product mix and higher variable incentive compensation. We opened 2 new stores in the fourth quarter, at DWR in Paramus, New Jersey, and the new Herman Miller store in Coral Gables, Florida. And as Andy highlighted in her prepared comments, we have exciting plans to grow this segment further in the coming quarters through additional new store openings and expansion of our product assortment. For the full fiscal year, on a consolidated basis, net sales were $3.67 billion, and adjusted earnings per share were $1.95. During fiscal 2025, we paid approximately $52 million in dividends, returned approximately $85 million to our shareholders in the form of share repurchases, and reduced our total outstanding debt by $10.8 million. Capital expenditures for the full year were $107.6 million. In fiscal 2026, we expect capital expenditures to range between $120 million and $130 million. And as I mentioned, we closed fiscal 2025 with a strong balance sheet, including $576 million of available liquidity. Against the dynamic macroeconomic conditions we faced in 2025, I'm really proud of the efforts of our teams across MillerKnoll to continue to deliver the best products and experiences in our industry, allowing us to finish the year with strength. Now let's turn to fiscal 2026 and our Q1 guidance and outlook, which is informed by our most up-to-date information on tariffs and related mitigation efforts. Our outlook reflects the normal seasonality we experienced in the Global Retail segment as consumers shift spending to experiences and travel in the summer months. Even what remains a rather volatile environment with respect to tariff policies and geopolitical issues around the world, we are limiting our guidance this quarter to the first quarter only. We do, however, remain committed to being transparent and resuming our full year outlook for sales and earnings as visibility improves. Taking this into consideration, in the first quarter of fiscal 2026, we expect net sales to range between $899 million and $939 million, up 6.7% versus the prior year at the midpoint of $919 million. Gross margin is expected to range from 37.1% to 38.1%. Adjusted operating expenses is expected to range from $290 million to $300 million, and adjusted diluted earnings per share are expected to range between $0.32 and $0.38. The gross margin and EPS outlook includes our estimate of net tariffs currently in place. In total, we expect tariff-related costs to reduce Q1 earnings by between $9 million and $11 million before tax or between $0.09 and $0.11 per share after tax. To give some further context, currently, approximately 17% to 19% of our consolidated cost of goods sold is imported into the U.S. from other countries. We expect the impact from the tariff-related cost to decrease over time as our pricing actions layer into the results. Further, we believe our collective mitigation actions to fully offset these costs as we move into the second half of the fiscal year. Another factor to keep in mind that is included in our expectations for operating expense and EPS are the costs associated with planned new store openings in our Global Retail segment. Given the time it takes to prepare a new store for daily operation, we normally begin to incur occupancy and other preopening expenses 1 to 2 quarters before the first products are sold in the store. As Andy mentioned, we're opening 3 new stores this quarter. We estimate approximately $4 million to $7 million in operating expenses tied to these new locations in the first quarter. Further, we would expect to incur similar expenses in each quarter this year, consistent with our planned new store openings. For all other details related to our outlook, please refer to our press release. 
Operator: [Operator Instructions] And our first question comes from the line of Greg Burns with Sidoti & Company.
Gregory Burns: So I just want to kind of dig into the pull-forward effect from the pricing actions you've taken, obviously, strong order growth this quarter. Can you just give us maybe a little bit of insight into what you've seen in the early part of the current quarter? Has that slowed down? And are orders going to -- do you expect orders, I guess, to be down year-over-year because of the pull forward? How has that dynamic played out since the quarter ended?
Jeff Stutz: Yes, Greg, this is Jeff. So we're 3 weeks -- we've got 3 weeks of data. And as we would fully expect, we're down mid-single digits in order entry in total at the consolidated level year-over-year during that period of time, which is in no way a surprise given the level of pull forward that we saw in the fourth quarter. So it's -- it lines right up with our expectations.  Time will tell.  As we progress through the quarter, our expectation is that we're going to resume growth, but we'll see where it goes.
Gregory Burns: Okay.  And then in terms of the retail store openings, can you just talk about your confidence level in such, I guess, aggressive expansion this year or accelerating the expansion of the retail footprint this year given kind of the softer demand environment that we're currently in? And then could you just talk about how long it takes a store to fully mature and start to absorb some of those incremental upfront costs? And then lastly, I guess, just what are your expectations for the margin profile of the retail business in the near term, given all the store openings that you project?
Andrea Owen: You may have to repeat that 3-part question, maybe, as we lean into it. So first, let me talk a little bit about the confidence in the retail business. It takes time to land real estate and open stores. So as we pace these 10 to 15 stores over the next 12 to 18 months, we anticipate that we will start to see a little bit better housing market, and we'll start to see things calm down a little bit. So we have great confidence in that. But more importantly, we believe that our retail prospect in our stores, both the DWR brand and the Herman Miller brand lean into white space in the market that we do not see. So right now, we are very under-stored compared to our competitors. We are under-assorted. And if you compare us to many of the folks out there in the residential home furnishings market, we're filling a need. So that gives us great confidence to open and expand. And I would say we are not moving any more quickly than we think is prudent, and we're certainly getting the best real estate as we do this. So we feel confident in how we're expanding. Debbie, what would you add? I think there was a question on margin profile.
Debbie Propst: Yes, we've shared that our long-term goal is to be in the mid-teens from an operating income performance for the segment and our growth strategy models us towards that over the next few years. And I think if you look at where some of our competitors were when they were at the fleet size that we have today, our operating income today is in line with where they were when they were at the fleet size that we have now. So we're confident in modeling much because we're conservative and the expectation to have from these stores on the basis of current market conditions. So if market conditions improve, then we have instant upside to that strategy. 
Andrea Owen: And I think he also mentioned about store, time to maturity.
Debbie Propst: So the time to mature -- in our current FY '26 planning, the new store possessions become less of a drag in the back half of this year. So right now, we're carrying -- in Q1, we'll carry 7 possessions that we don't have open yet. So the time to maturity on -- well, the time from possession to opening on a Herman Miller is only about 2 to 4 months, and it's about 3 to 6 months on a DWR. And then the stores become profitable within the first year, faster for Herman Miller just because it's a smaller footprint.
Gregory Burns: Okay.  Great.  And then just to clarify, I appreciate kind of the long-term model on where you see the operating margins heading. But should we just expect kind of margins to be around that 5% level, I guess, in the near term until these stores mature and then you start to see leverage like for the next couple of quarters? Should our expectation be that, that models -- that margins stay at these current levels?
Andrea Owen: Yes.  I would hold there as you look at the shares and investment, Greg. And just from a cautious standpoint, I think, certainly in year 2 and 3, we'll see that start to pump up. But right now, that feels like a safe place to bet.
Operator: Our next question comes from the line of Reuben Garner with Benchmark Company.
Reuben Garner: Jeff, can you clarify, did you say that you guys estimated that North American pull forward was in the range of $55 million to $60 million in the quarter.  Is that right?
Jeff Stutz: Yes, that's accurate. Well, and Reuben, just to clarify, that's North America, but that's our estimate for the consolidated enterprise as well because we just -- there was no meaningful pull ahead at all that we estimate in the international side of the business.  So yes.
Reuben Garner: Okay.  And is there any way to gauge like what period that was actually pulled forward from? In other words, like was that all pulled out of the month of June? Was it pulled from things that were in the pipeline for the rest of the year? And then in the past, you guys have kind of given us some of your internal metrics like the 12-month funnel and otherwise, how have those trended? I know last quarter was a little bit more mixed, but are those still tracking positively?
Jeff Stutz: Yes.  Go ahead, John.
John Michael: Sure.  Reuben, it's John.  From a -- in terms of where the orders are going to fall when they start to ship, significant amount in Q1 and Q2 and obviously, a lesser amount in the back half of the year. You might recall in the last couple of quarterly calls, we pointed at a funnel called awarded, not ordered yet. And so those were things where customers were just hesitating for whatever reason. And I think the pricing actions sort of provided some motivation to sort of get off the fence and get the orders placed. From a leading indicators perspective, looking at the funnel, I think if you look at funnel additions, still very strong. Pricing requests were up over 35% year-over-year. Contract activations were actually up over 50% year-over-year, that's from the time we let pricing to the time we actually see an order. Mark-up activity was still very robust. So I think, overall, all the leading indicators still continue to point in the right direction.
Reuben Garner: And does anything jump out whether it's geographically or in terms of end markets within the North American Contract channel that stand out in the quarter or size of customers, size of projects, or anything like that?
John Michael: Yes, we're still seeing a lot of strength in the key verticals that we're focused on, those being public sector and health care. In terms of order or project size, we've seen growth in the $1 million to $5 million category. And really across all the different vertical segments, pretty strong growth. The only one that's down slightly is banking, but that's off of a very significant comp from -- against last year.
Jeff Stutz: Yes, Reuben, this is Jeff. If I can just -- sorry, I just want to jump in and add one more bit of color on the pull ahead. We still have -- if you normalize for that pull ahead, there was still mid-single-digit order growth in the Americas Contract segment for the quarter. So I wouldn't want you to walk away and assume that all the pull ahead, if you normalize for it, creates a negative story. We still felt really good about the underlying demand indicators.
Reuben Garner: Great.  And then next question is on the profitability. So what you're suggesting is because of the pull forward, you're facing the tariffs, but you don't have the surcharge to offset it.  How long?  Is that just a 1 quarter dynamic? Or does that kind of lead into Q2 and Q3 as well when these orders are ultimately shipped?
Andrea Owen: Reuben, that's typically a 2-quarter dynamic for us. So we imagine it will be the biggest impact in Q1. It'll lessen a bit in Q2, and then we should see pretty healthy coverage in Q3 and Q4. Jeff, would you add to that?
Jeff Stutz: Yes, I think that's right. And I think it's important to note that the issue with pull ahead, the nature of pulled is that customers are trying to get their order in, in front of the effectivity of these price changes, be it a surcharge or a list price increase. So what you have is we grew backlog $78 million in the quarter. A large portion of that backlog, the large majority of that backlog was pre-pricing. So that's part of the reason why as we go through Q1 and Q2, we're going to see the sales book not have the full benefit of pricing because of that pull ahead. And that's not an unusual dynamic in this business.
Reuben Garner: Okay.  And then if I could sneak one more in on the balance sheet and cash flow, starting a new fiscal year, Jeff, any thoughts on the puts and takes of what might impact free cash flow this year and/or kind of targeted leverage levels by the end of the year?
Jeff Stutz: Yes.  I think what I'll say is, in my prepared comments, I highlighted the fact that we were -- we leaned into share buybacks in fiscal 2025. We have -- we've made a real conscious effort to turn our attention to 2 primary areas, and part of which is informing a higher CapEx estimate, and that is the build-out of these stores that we've talked about, but also a focus on paying down debt. We were opportunistic with the share buybacks, but we also acknowledge the need to manage that debt level down, particularly in an environment like this where you have geopolitical uncertainty and so forth. So we think that, that's the prudent approach. And so those are going to be the fundamental areas we're going to focus on.
Operator: Next question comes from the line of Brian Gordon with Water Tower Research.
Brian Gordon: First, I just kind of wanted to dig in a little bit on what you saw in the sales and order growth for North American Contract. I'm trying to get a handle on how much of that pretty robust growth was kind of more transactional or shovel-ready projects and how much of it was genuine pull forward of larger projects?
John Michael: Brian, this is John. I would say that most of it -- much of it obviously had been in the funnel for a period of time. So you would consider that more project-oriented business. Did we pick up some day-to-day business as a result of the pricing actions?  I'm sure we did.  But the vast majority of it came from project opportunities.
Brian Gordon: Okay.  And my next question maybe is best for Debbie. I was kind of wondering, did you see any indications of like significant demand pull forward on the retail side? And then kind of maybe as a quick follow-up to that, has the environment been getting more promotional from your standpoint?
Debbie Propst: Thanks for the question. So maybe I'll just start by saying we're really happy with the quarter because across all of our retail brands, channels and regions, we saw growth versus last year with pricing increasing offsetting incremental discounting where that did exist. And no real pull forward to speak of outside of a small amount in our Holly Hunt business, where we do have a surcharge that was implemented in the quarter.
Operator: There are no further questions. We turn the floor back to President and CEO, Andy Owen for any closing remarks.
Andrea Owen: Great. Thank you all so much for your support at MillerKnoll, and we look forward to updating you again next quarter. Have a good night.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for joining, and you may now disconnect.